Operator: Welcome to the Boozt Group Q3 2025 Report Presentation. [Operator Instructions] Now I will hand the conference over to CEO, Hermann Haraldsson; and CFO, Michael Bjergby. Please go ahead.
Hermann Haraldsson: Thank you, and good morning, all, and welcome to our Q3 2025 webcast. Let's turn to the first slide, the agenda. We will have the usual agenda for the presentation. I will present the highlights of the quarter and the business update before handing over to Michael for the financials. So if we look at the next slide, our highlights. Overall, Q3 was a decent quarter with strong operational performance. We had good margin progression and a solid free cash flow, which is a testament to our strong business model. Our revenue growth is not where we wanted to be, but we have seen a gradual improvement, which is important heading into the most important part of the year for Boozt. This increase in the quarter was achieved despite a slightly difficult September, which was impacted by less favorable weather conditions for the autumn/winter collection. It was a bit warm. In the quarter, Boozt.com gradually gained revenue traction and particularly in September, where we made a very clear strategic shift to focus on premium in-season sale on Boozt.com. This change in September changed the composition of growth between Boozt and Booztlet and improved the gross margin significantly. I will come back to this shift later. Our profitability improved significantly in the quarter despite continued headwind from currency. The increase was driven by all OpEx ratios. Free cash flow was again strong. The underlying business is fundamentally very cash generative and with our disciplined management of inventory, it shows in the free cash flow. We have now generated almost SEK 500 million in the last 12 months and expect to generate more than SEK 500 million in cash in the year 2025. With this performance in Q3, we are pleased to be able to both upgrade our EBIT margin guidance and expand our share buyback program. The Board has now initiated the process to increase the current share buyback program from the current SEK 300 million to now SEK 415 million. With this increase, we will have delivered on our target to return SEK 800 million of capital back to our shareholders in 3 years as communicated at the Capital Market Day in 2023. On the outlook for the year, we now expect revenue growth of 0% to 3% or 2% to 5% in constant currency growth. Additionally, we increased our margin guidance. We now expect the adjusted EBIT margin for '25 to end between 5% and 6%. Now let's turn to Slide 5 for the business update. Driving multi-category purchases remains a key strategic goal of our department store model as it directly correlates with customer loyalty and improved financial performance. And crucially, in the current market environment, our diverse categories also helped mitigate the impact of a muted fashion demand. Over the last 12 months, we have successfully increased the purchase percentage of customers shopping from more than one category to 53% on Boozt.com. This is a step-up from 51% last quarter. This improvement occurred despite a strong inflow of new customers, around 170,000 joined this quarter, who typically start by shopping in a single category. Our total active customer base over the last 12 months was broadly unchanged and stands around 2.7 million. This is a number that we need to improve. It has, in 2025, been impacted by a slight decline in female shoppers, and this is now starting to improve. Please move to the next slide, please. I want to provide a few comments on the trend of our female shoppers. This is critical for us as we move forward on our growth journey. Revenue from the women's fashion category is gradually stabilizing after a longer period with some softness. This improvement is important because a stronger performance in women's fashion directly benefits our other categories as women are more often shopping from non-fashion categories, home, sport, beauty and kids. The improving trend is supported by the number of women shopping on our site. If we isolate the numbers for Q3, active customers shopping women's fashion on Boozt.com declined by 2%. We are taking several strategic steps to strengthen our women's category and continue the positive momentum we're seeing. First and foremost, we have expanded our teams within buying, merchandising and marketing to bring in new expertise and fresh perspectives. This enables us to create an even stronger and more relevant brand and product mix that meets the evolving needs of our female customers. The results are already showing. In October alone, we saw a good increase in women's shopping on Boozt.com compared to last year. At the same time, we are reinforcing Boozt.com as a premium destination by elevating the customer experience, making it more inspirational, personalized and fashion-driven. Through richer storytelling, curated campaigns and the use of advanced AI tools, we are creating a more seamless and engaging shopping journey. By the [ SS '26 ] season, our product listings and pages will feature more enriched and inspirational content to help customers find what they love even faster. Finally, we are diversifying our media mix to reach and inspire more women and men across platforms such as Meta and TikTok, while also experimenting with new opportunities on emerging AI-driven platforms. This improvement is supported by the clearer strategic distinction between Boozt.com and Booztlet.com. Please turn to the next slide. This slide summarizes the strategic clarification that is fundamental to performance going forward. We have since September and into Q4, deliberately made a clear distinction for the roles of our 2 platforms to maximize both brand value and operational efficiency. For Boozt.com, the strategy is firmly centered on its position as a premium destination. We are actively reducing the promotional activity to protect our brand equity as well as the value of our brands, strengthening long-term partner relationships. On top of that, our customers' multi-category shopping is the engine that drives loyalty and diversification as well as reducing our overall risk. We believe this has been an important step to get Boozt.com back to growth with 3% organic growth in Q3. Booztlet's prime focus, on the other hand, is on selling prior season stock with very limited access to current season products. Current season products could be accessed by Booztlet campaign buys, for example. Booztlet will continue to help reduce risk when purchasing and to maintain our current inventory. Overall, Booztlet's role as a clearing mechanism is working exactly as planned as we are managing inventory well even in a year like '25, where our growth is not what we had planned for. On top of this, Booztlet also gives us access to another customer group, which is looking for bargains when shopping. Active customers on Booztlet are now over 1 million, showing the relevance of the channel. Of these, 60% shopped only on Boozt.com and not Boozt.com in the last 12 months. The clear distinction between the sites is a fundamental part of our business model. It is long-term sustainable and ensures that we can optimize our premium market position by simultaneously safeguarding our balance sheet through effective inventory management. Next slide, before I hand over to Michael, I want to highlight the significant effect of our clearance sales on Booztlet. The clearance sale, which was started in September last year, is now fully concluded and our inventory is definitively rightsized and at the right quality. This crucial derisking would not have been possible without Booztlet as a dedicated clearing channel as deep discounts on our main site, Boozt.com would have tinted our brand equity. Inventory as a share of last 12 months revenue is now down to 38.2%, which we believe is a healthy level in our current state. This is a significant decrease of 5 percentage points compared to the same period last year, illustrating the importance of this exercise. It also supported our cash generation, driving our free cash flow to SEK 292 million in the quarter, a solid improvement compared to last year. We are now entering the most important trading season with a healthy and high-quality inventory position. This puts us in an optimal position to capture demand and to exploit market opportunities without excess risk. With that, I will now hand over to Michael and the financial review.
Michael Bjergby: Yes. Thank you, Hermann, and good morning to all from me as well. I'll start on Slide 10 as we start off with a review of the revenue performance of the quarter. Now in Q3, it was important for us to get back to growth after Q2 and see an incremental improvement in the growth rate. With 3% organic or constant currency growth, we delivered this improvement and from a category perspective, driven by a recovery in women's fashion, as Hermann also described, our largest and most important -- strategically most important category. When reviewing the revenue across the 2 stores, Boozt and Booztlet, it appears like quite stable and uniform growth, but the quarter was, in fact, divided into 2 very different trading periods. Booztlet generated strong growth in the first months of the quarter during the clearance sales, and this reversed actually in September. For Boozt, it was opposite and the store generated very strong growth in September as the clearance sales was concluded. With our sharper distinction between the 2 sites and our focus on premium sales on Boozt.com, the relatively stronger growth in Booz compared to Booztlet continued into early Q4, and we believe that this is the right composition and the most healthy growth dynamics. Looking at the geographical revenue, the growth was relatively uniform across our key markets and all growing in the low single-digit area from a constant currency perspective. I'll move to the next slide and provide some comments on the profitability of the quarter because overall, we are satisfied with our profit development. It shows the strength of our business model, which can be quite scalable and something that we can continue to optimize across the value chain. It should not be a surprise that the gross margin is down in the quarter. It's quite natural when it is driven by the clearance sales in July and August. And it is quite natural that the gross margin is affected in a year, where revenue is lower than planned and expected. On top of this, we continue to see a negative impact in the gross margin from the FX development. But as Hermann mentioned also in September, when the clearance sales was finalized, the year-over-year development on the gross margin actually was positive and in local currency improving compared to last year. We improved the EBIT margin as we were able to more than offset the gross margin development through leverage on OpEx lines. We are continuously striving to optimize our efficiencies. We see that within the marketing spend. We see it within our fulfillment and distribution ratio. And as we continue to deliver -- to develop and also grow, we see long-term room for improvement on these lines continuously. We also saw a continued good development on the admin ratio driven by the previously communicated ceasing of Norwegian customs as well as the downsizing of field [indiscernible] FTEs in year. Depreciation was slightly up, driven by continued investment at our automated warehouse at Angelholm, but also investments in our best-in-class IT and [indiscernible]. Now please move to Slide 12, as I turn focus to our cash flow. The cash development was strong in Q3, and it's really a representation of our operating model and setup between Boozt and Booztlet, as we are managing our inventory and working capital. It's quite an achievement to manage inventory and even reduce inventory in a year, where sales is lower than planned. This is a key strength and risk mitigating accomplishment of the business model and the dynamics between the stores. Now generating free cash flow, which is 7x larger than EBIT as we did in this quarter is clearly not sustainable, but the quarter illustrates how working capital is the determining factor for our cash generation, and that is an important characteristic in a business like ours, where we trade massive volumes at relatively low margins, and I'll discuss these fundamentals of the cash flow over the cycle a bit more on the next slide. Because the more appropriate performance view of the cash generation is to review the last 12 months, i.e., over the full 4 quarters of the year. And in the last 12 months, our cash conversion has been close to 100%, and that's even with a slight outflow from working capital. We generated free cash flow of SEK 483 million out of a reported SEK 500 million EBIT. It shows how strong our underlying cash generation potential is. It is clear that when the business is growing very fast, it requires investments in working capital and in our warehouse capacity, but with more module growth, the cash conversion is fundamentally highly attractive like this year. As we are guiding free cash flow of more than SEK 500 million for the full year 2025, it can also be concluded and again, in Q4 '25, we expect to generate more cash than we did last year, reflecting continued operational improvements and continued strong management of working capital. Please move to the next slide for some comments on how the cash is used and generally our capital structure. As discussed, the business is highly cash generative in periods without the excessive growth. We are demonstrating this with our performance this quarter and with our outlook for the year. We do not want to sit on that cash. It has to work and it has to create return, and we strive to be disciplined in our return of excess cash to shareholders, currently mainly through share buybacks. As we are now extending our share buyback to purchase treasury shares worth more than SEK 400 million in the 1-year period since last AGM, we are actually returning quite a lot, and we're also achieving the target that we set out in our Capital Markets Day in 2023 and importantly, thereby delivering on our promises given. Despite the relatively large share buyback this year, we still have a very strong and quite conservative capital structure and currently with net cash, which means negative net debt of around SEK 200 million. This also means that we have very strong liquidity. We are maintaining a strong balance sheet because it creates room to maneuver and to capture opportunities in the market. And in that sense, we can -- as we face commercial growth opportunities in the market, we can attack and allow working capital swings in temporary periods. So with this, I have finalized my financial review, and I'll now turn to the future and our financial outlook on Slide #16. As Hermann mentioned in the beginning, we are satisfied with our strong operational performance, and we are updating our guidance to reflect the performance year-to-date. although we are currently facing the largest and most important months and trading periods of the year. The new revenue guidance corresponds to 2% to 5% constant currency growth for the year, and we still expect full year headwind of around 2 percentage points from currency. With the new guidance, the required constant currency growth in the fourth quarter is 2% to 10%. This corresponds to 0% to 8% in net revenue growth. It's a relatively broad range, but it underlines the uncertainty that November and December inherently carries. In regards to profitability, we are increasing the adjusted EBIT margin guidance driven by the factors that Hermann described earlier on the call. Fundamentally, we continue to see scope for further margin improvements. And this upgrade is an illustration of it. In a year with muted growth, focus on inventory clearance and also sharper distinction of Boozt and Booztlet, and on top of this quite material headwind from currency, we are still able to drive the underlying margin forward. For the full year, we estimate that the margin will be negatively impacted by around 1 percentage points due to the strengthening of SEK versus primarily euro, but also Danish kroner. The rest of our guidance remains unchanged, free cash flow of more than SEK 500 million and CapEx between SEK 150 million and SEK 170 million. I'll have my final slide with a few comments about our relocation coming up shortly because as you are aware, we are investing in Boozt to become a unique and really preferred employer in Copenhagen, the capital of Denmark. And creating a strong organization and really a powerhouse under one roof is a way for us to sharpen the organizational capacity. This investment carries some nonrecurring costs, and there are some compliance matters related to the move that I'll describe briefly. The nonrecurring costs are relatively limited and amount to around SEK 550 million, and it's mainly double leasing of the old headquarters at Hyllie, but also other smaller locations that we have as well as the restoration of our old headquarter. The larger part of these costs will be recognized in Q4 2025 and the rest in Q1 2026. The cash impact, however, will be spread across the year of 2026. Another implication of the move is that there will be a so-called exit tax related to the activities and operation, which are moving to Denmark. Our core assets like the Angelholm warehouse and our listing, et cetera, will be maintained in Sweden. So this will not be subject to any new tax legislation. But the exit tax payment in Sweden will create -- and that's important. It will create a deferred tax asset in Denmark based on the fundamental principle of the double tax treaty agreement between the 2 countries. So in layman terms, this means that the payment in Sweden can be deducted in Danish tax payments likely over a period of 5 years. And as a result, we expect no cash impact over the period from 2026 to 2030. But in 2026 alone, we expect excess cash tax payment of SEK 140 million. This concludes the prepared part of my presentation, and I'll now hand the word back to Hermann for some final remarks.
Hermann Haraldsson: Thank you, Michael. And before moving on to the Q&A, I would like to share a few words on our strategic outlook. Our focus remains clear. We want to get back to sizable growth. Our operations are like a well-oiled machine. We are very efficient, and we want to increase our revenue growth to exploit our unique and scalable business model. We have strengthened our competitive position in the last couple of years, and I believe that the Boozt organization is now stronger than ever. With the move to Copenhagen, we will be a clear preferred employer and be able to attract key competencies and talent. On top of that, we are quite confident that consumer sentiment and thus the market return for the better and that Boozt will be positioned as one of the strongest players in the region to capture more than our fair share of that growth. So this concludes the presentation. And operator, will you please open up for questions.
Operator: [Operator Instructions] The next question comes from Niklas Ekman from DNB Carnegie.
Niklas Ekman: Yes. Can I start asking about the sales guidance, the updated sales guidance, given that your sales in the first 9 months are essentially flat and your guidance now of 0% to 3% growth. That seems to indicate then expectations of an improvement in Q4. And given your comments here, I mean, on the one hand, September sales being weak, you seem to be a little bit more confident here on October, but there's a lot of uncertainties about November and December. So what gives you confidence that your sales will essentially accelerate in the fourth quarter?
Hermann Haraldsson: Well, kind of the quarter so far supports the guidance and comps are slightly easier for the fourth quarter. And so we think it's kind of -- as far as we see, there's nothing that indicates that things would become worse. And so -- but still, it's -- we think it's a cautious guidance, but still we are seeing some optimism, especially also because the women have returned again, growing again in the women's. So I think there's reason to believe that we are back to at least a moderate growth.
Niklas Ekman: Very good. And I'm also curious, when you're talking about the reduced campaign activity at Boozt.com and kind of shifting that towards Booztlet, how much of this is kind of a voluntary move? How much of this is a result of pushback from suppliers? And are you now where you want to be? Or do you think that there will be a further move towards reducing that level of discounting at the core Boozt.com site?
Hermann Haraldsson: Yes, a good question. I think as you know, we basically have been slightly overstocked for the last 2 years, meaning that we have had to reduce inventory and use our channels. And you also have to look after our brand partners, and it's entirely voluntary, but we want to kind of elevate the brands and keep the high brand profile. So kind of -- it's our initiative because we want to, again, create a more clear distinction between Boozt.com and Booztlet. I think that the overlap between the 2 shops and the offers were getting a bit too similar. So it's kind of a decision to create kind of 2 very distinct different shops. I think that we're actually on a good track. We are of course, we have to act with the market, and we are price takers, and we cannot sell more expensive than the rest, but we're definitely not price leaders. And we're moving into a more kind of inspirational and discovery like. And fortunately, our technology, AI helps a lot in doing that. So I think that we're in a good spot. And the inventory is right, so we don't need to clear, so we can actually also start to buy some campaign [ goods ]. So I think that we're in a quite strong position to capture growth when it returns.
Niklas Ekman: Very good. But do you think that it's a challenge for you to drive growth if you hold back a lot of campaigns? Because I think in the past, the campaign activity at Boozt.com has also clearly been a growth driver. So moving away from that, is that a challenge for you right now? Is that a reason why we're seeing lower growth rates this year compared to the previous year?
Hermann Haraldsson: I think it'd be a bit too -- I think it's a bit too far to say that is the main reason. I think that we've been hit by consumer sentiment and consumers holding back. But obviously, in the previous years, [ campaign buyers ] have been a big driver of us being able to offer strong campaigns. And as we have had too much inventory, we haven't bought too much campaign goods. Now with the inventory size, we can get back to doing campaign buys and promoting the campaign [ buyers ]. And this is kind of all in alignment with the brand's interest. I think that kind of we are moving in a position, where we can get a bit back to kind of being a retailer with strong brands and relevant and good offers. So I think that kind of we have put ourselves with our inventory position and with the kind of our brand and the distinction between 2 shops to be able to kind of again offer relevant campaigns without destroying margin or any brand relations.
Niklas Ekman: And when you're talking about increase in campaign buys or campaign goods, are you talking already Q4? Or is this more an issue for 2026 and onwards?
Hermann Haraldsson: We're starting in Q4 and -- but also in '26 onwards. So we see more campaign buys opportunities, both in the market and for ourselves than we've seen for quite some time.
Operator: The next question comes from Benjamin Wahlstedt from ABGSC.
Benjamin Wahlstedt: I was wondering if you could give a bit more flavor on the quarter's growth by month, please. What was your growth in September, for example, when warehouse clearances were done?
Hermann Haraldsson: Yes, the growth was -- as we said at the end of -- at the Q2 call, we came into the quarter with growth. And in July and August, September was actually kind of flattish because weather was -- it was very warm. So it was quite uneven growth for the quarter actually. So that's why you should always be careful because especially when you -- the transition from summer to autumn to winter is like very dependent on temperatures and weather, et cetera, et cetera. So -- but it was quite uneven with September being more or less, less flat.
Benjamin Wahlstedt: Right. Another possible interpretation of this report, I think, is that you spent too little on marketing in the quarter, reporting the lowest marketing ratio since mid-2019. And I was wondering if you could give us a bit more flavor or commentary regarding that.
Hermann Haraldsson: Yes, we can do that. I don't think we spent too low and little because as we've been discussing before, it's all about kind of the marginal spend. And if the consumer is not there, you can just totally overspend on your marketing. And that's why we still have the ratio of how much do you want to pay for a new customer and what is the payback. So we're cautious. We've been holding a bit back on our offline campaigns. as also we said in the Q2 call, that's because we haven't been really ready. But I think that kind of -- I said the ambition is to get marketing down and -- and even though our cost structure allows us to spend more on marketing, we don't want to throw any money. And just by increasing performance marketing, it's a bad investment. So that's why you'd rather hold back and save that money for a full year.
Benjamin Wahlstedt: Perfect. And this is sort of a follow-up on Niklas' previous question. Would you say that your strategy from, say, October onwards is a new strategy with less discounts than previously or less targeted discounts than previously? Or should we understand it as a return to the pre-inventory clearance strategy essentially?
Hermann Haraldsson: I think you should interpret as a return to the pre-inventory reduction strategy. We -- over the last 2 years, we've been expecting higher growth and [ bought ] for that growth, and it has materialized, which has meant that we have had to kind of clear because we are religious about not having too much inventory and not doing any write-downs. So we've basically been forced to do that. Now with inventory being at a very good size, we are getting back to -- yes, as I said before, the phase, where we can -- we have the right inventory from the beginning of the season and can do opportunistic campaign buys to add some flavor and margin to -- and also add some basically attractiveness to the offer. So I think that we're kind of going back to, as you said, the pre-inventory write-down strategy, it's a long word.
Benjamin Wahlstedt: All right. And finally, from my end, I was wondering if you could say anything else about the consumer environment as you see it currently in addition perhaps to the stronger October demand for the women's category. Should we understand that comment as being of like stronger growth for the whole business in October? Or is it more specific -- specifically related to the women's category?
Hermann Haraldsson: Yes, sorry. Again, if you look at consumer sentiment, it's -- I think it's still below 0 in all the 4 Nordic countries, the 4 Scandinavian countries. So even though we're going up and Sweden seems to be the most positive country and probably even more positive next year, the Danes are still quite depressed. The Norwegians are getting closer to neutral and the Finns are also seem to be depressed. What we notice, of course, is that the women are coming back. So we have a growth in women buying on Boozt in October. But -- and there's a but, the average item price they're buying for is lower than last year. So they are still kind of holding back and being cautious. So I'm not sure if we're out of the woods yet. But with the stimuli that is coming in Sweden, also in Denmark, I think there's time to become a bit more optimistic about the future. So at least kind of we don't see any negative numbers anymore. So now it's just kind of the degree of positiveness. But again, it's very early because in 1 month's time, I might be really happy or depressed depending on how this black month and Black Friday and Cyber Monday goes. So it's kind of -- it's too early to conclude because it's the next 1.5 months that is going to decide everything.
Benjamin Wahlstedt: Yes, of course. You 're -- well, if history tells us anything, you're usually pretty good black month, but let'sâ€¦
Hermann Haraldsson: [indiscernible].
Operator: The next question comes from Daniel Schmidt from Danske Bank.
Daniel Schmidt: A couple of questions from me. Hermann, you talked about when we sort of heard from you the last time in Q2 that you basically missed maybe on womenswear when it came to dresses and so on in your purchasing heading into the spring season. Is there sort of anything that you've done entering the autumn/winter season that is sort of increasing the likelihood that you won't make that mistake again in terms of predicting the trends and so on?
Hermann Haraldsson: Yes. That -- it's a good question, actually. Yes, there is because we became too cautious in the first half. We bought what we thought would be the sure thing. So we bought more depth than breadth. We kind of internally refer to it like we looked a bit more down, so looking too much to the numbers instead of looking up. So we set the buyers a bit more free and saying, okay, try to buy more inspiration, more breadth and try to see kind of there to take more risk again because our inventory position is so good. And then, of course, we bought less dresses going into the quarter. So that was kind of -- so it's kind of -- when you're in a position when you have too much stock, you tend to be -- become a bit more too cautious. And I think that we became a bit too cautious. So I think that we are going to be more -- liberate our buyers a bit more than we've done before because we know that we are very good at eliminating stock risk. So I think that you -- and I think that already now that the women can see that there's basically more and better choice in the shop.
Daniel Schmidt: So that's basically a reflection of what you're seeing in October, you think?
Hermann Haraldsson: Yes. I think that's a good bet that women are able to find more exciting stuff. They still buy the sure thing, but they also want to be inspired, right? And we're getting better at that.
Daniel Schmidt: Just coming back to a detailed question on the marketing spend. And again, that was on the low side in Q3, and you already touched upon that, but it was also on the high side in Q2. And I think you wrote something about a timing effect, and you also mentioned that in Q2, they went a little bit overboard maybe or maybe it was also timing between the quarters. Is that correct? Or shed some more light on that?
Hermann Haraldsson: Yes, that's correct. We had quite a big offline marketing campaign in May. which was a really bad month and the quarter [ get ] results. So we went slightly kind of -- I wouldn't say we went overboard, but the timing was unfortunately compared to the market, and our execution was maybe not spot on. So that's why kind of we are regrouping and redefining kind of what and how we want to communicate, especially offline. I think in our performance marketing, we're on a good track. We are using marketing technology to an even greater extent, and it shows promising results. But again, we've been discussing this for like -- like now 8 years, Daniel, that we are very, very careful not to overspend on performance marketing because the marginal cost of the margin customer is just too high. So we'd rather not spend and then accept low growth because often doesn't make sense. So that's why we're trying to guide it. And then again, the long term, our target is to get the margin cost ratio down to maybe 6%, 7%. So I think it's a path towards that goal.
Daniel Schmidt: And then also maybe coming back to the inventory and the size of the inventory, and I clearly hear you that you've been overstocked for quite some time, and you've done quite a lot of excessive clearance of inventory in the past couple of quarters, and you seem very happy entering the fall and winter season. Is there any risk that the inventory is too low to get up to the upper end of the implicit top line guidance that you have for Q4? Or is the sort of the capability to add on campaign buys or additional inventory in the season better now to support if top line would sort of surprise positively or demand would surprise positively?
Hermann Haraldsson: You're right. Yes. You're right that there is a risk if demand is higher than projected that we don't have enough inventory with what we have now. This is also why we've started already to do some strong campaign buys and are increasing our campaign buys budget because you're right that of course, if consumers become more happy and start to buy again, then we don't have enough inventory. But we are actually working on that. And I'm quite confident that if there is more growth than we guide, we would probably be able to kind of deliver on that growth. So -- but you're right that we are now going back to doing quite decent campaign buys.
Daniel Schmidt: And does that go hand in hand a little bit when it comes to other revenues? How do you see that into Q4 and '26?
Hermann Haraldsson: Yes, it does. It has [ other ] revenues, especially the retail media revenue is not 100% linked, but it's quite linked to the buy as it always has been. So with us, if we are turning the buy down, then other revenue is affected and it's difficult to compensate for that by offering additional campaigns also because if consumers are holding back, the brands feel it themselves. So they're also less inclined to spend more in marketing. So it kind of goes hand in hand, but it's not a 100% correlation. So we have been able to compensate slightly for that by offering better and more targeted campaign. Our BMP is actually getting better and better at both targeting and documenting the return on the marketing investments than before. But of course, it's linked to the buy.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Hermann Haraldsson: Okay. Thank you for listening in and the questions. And yes, we are just waiting for a very interesting 1.5 months. And hopefully, we'll meet happy again after Black Friday and over the next coming weeks. Thank you very much, and bye-bye.